Operator: Good day, and welcome to the MasTec Second Quarter 2013 Earnings Conference Call, initially broadcast on August 2, 2013. Let me remind participants that today's call is being recorded. And at this time, I would now like to turn the conference over to Mr. Marc Lewis, MasTec's Vice President of Investor Relations. Marc, please go ahead.
J. Marc Lewis: Thank you, Mary, and good morning, everyone. Welcome to MasTec's second quarter earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing continuing operations adjusted financial metrics as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measure not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release, our 10-K or in the Investors and News sections of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and CFO. The format of the call will be opening remarks and analysis by Jose, followed by a financial review from Bob. These discussions will be followed by a Q&A period, and we expect the call to last about 60 minutes. We had another great quarter and a lot of good things to talk about today, so I'd like to turn over to Jose. Jose?
Jose Ramon Mas: Thanks, Marc. Good morning, and welcome to MasTec's 2013 second quarter call. Today, I will be reviewing our second quarter results, as well as providing my outlook for the markets we serve. First, some second quarter highlights. Revenue for the quarter was $978 million. Adjusted EBITDA was $110 million, an increase of 31% over the prior year second quarter. Adjusted EBITDA margins were 11.2%, a 280 basis point improvement. Adjusted earnings per share were $0.47, and backlog was up nearly $700 million sequentially on a number of large awards that I'll cover later. In summary, we had an excellent quarter. Revenue was up double digits across all of our segments, with the exception of our renewable power generation business, which was, as expected, down considerably. Adjusted EBITDA margins were up 280 basis points year-over-year and up 230 basis points sequentially. The improvement in margins were driven by increased profitability in both our pipeline and wireless markets. In spite of our strong financial performance for the quarter, the highlight of the second quarter was the number of large projects we were awarded. Our pipeline group was awarded an approximately $400 million project from our largest pipeline customer. The project starts in the third quarter and should complete in early 2014. Our Electrical Transmission group was awarded 2 large projects during the quarter, which totaled over $400 million in value. The first project is from MidAmerican Energy in Iowa called the Multi-Value Projects 3 and 4. These lines cover 191 miles, traversing portions of 9 Iowa counties. The second project was a 112-mile line for Arizona Public Service in Arizona. While only the expected 18-month revenue burn-off is included in backlog, these projects helped drive a nearly $700 million sequential increase to backlog. As we have previously stated, we are in the midst of enjoying some great opportunities in a number of the markets we serve. We have invested heavily in the equipment and people to execute on those opportunities, and the increase in our backlog is a reflection of the success that we are enjoying. Now I would like to cover our segment data. Our Communications segment revenue was $497 million for the quarter versus $432 million last year. EBITDA margin for this segment was 12.8% for the second quarter versus 10.9% in last year's second quarter. The growth in this segment was led by our wireless business, which was up 43% year-over-year and up 33% sequentially from the first quarter. Revenue growth in our wireless business has been stronger than expected and has been driven by both growth from AT&T, as well as our ability to diversify our customer base. We expect wireless revenues to exceed $900 million in 2013. While we have enjoyed strong growth over the last year, there are a significant number of new opportunities we are pursuing. Demand for our wireless services continues to be high, and we expect that demand to accelerate over the course of the next few years. We have invested and will continue to invest in the opening of new training facilities, the hiring and training of personnel and the equipment and systems necessary to provide our customers with the resources they will need to complete their deployments in a cost-effective, timely and safe manner. Having these resources will be a key to the continued growth in our wireless business, and we are very confident in our ability to be a market leader in this business. Our installation-to-the-home business was up 2% year-over-year, and we are excited about DIRECTV's recent acquisition of LifeShield that gets them into the home security business. We continue to believe that home security presents an excellent opportunity for long-term growth for our business. Our Oil and Gas pipeline segment had revenues of $297 million for the second quarter compared to revenues of $264 million in last year's second quarter, or a 13% year-over-year increase. EBITDA margin for this segment was 17.2% versus 6% in last year's second quarter. Backlog was up sequentially from $387 million to $808 million. The increase in backlog was driven by the award I covered earlier, the added backlog associated with the acquisition of Big Country and a number of other small awards during the second quarter. We expect pipeline segment revenues in 2013 to be approximately $1.5 billion compared to $959 million last year or a 50% year-over-year increase. This growth will be driven by our continued success in the different shale plays, along with increased activity in large-diameter, long-haul pipeline construction. Again, this quarter, Enbridge is our largest customer in this segment and is also MasTec's third largest customer. Also during the quarter, we acquired Big Country Services, a Canadian pipeline and facility contractor with a presence throughout Canada and also in the U.S. portion of the Bakken shale. The acquisition significantly enhances our competitive capabilities in both markets and positions us well for future growth. We continue to be very bullish on both the near- and long-term demand for services related to Oil and Gas pipelines. Our Electrical Transmission segment had revenues of $119 million for the quarter versus $89 million last year, an increase of 33%. EBITDA margin for this segment was 9.7%, up sequentially from 4% in the first quarter but down from last year's 13.6% margin. Margins, as expected, have been negatively impacted by the number of new projects we are starting. We expect margins to continue to improve as the year progresses. We have had tremendous success in growing this business. Over the last 12 months, we've been awarded nearly $1 billion of new transmission projects. Included in our backlog is only the anticipated 18-month burn-off of our projects. We have made significant investments in both people and equipment in this segment and believe we are very well positioned to continue to take advantage of the growing opportunities in this market. Moving to our Power Generation and Industrial segment, revenue was $63 million in the second quarter versus $198 million in the prior year. EBITDA margin for this segment was a negative 12.6% versus a positive 6.8% in last year's second quarter. As we have previously explained, this is our most challenging business in 2013. We now expect full year revenues to be down about $350 million from 2012, primarily due to the reduction in renewables based on the delayed extension of the production tax credits for wind. A challenge in rightsizing this business is the fact that the wind business is expected to increase again in 2014 due to the tax credit extension negotiated during the fiscal cliff talks. There is a significant amount of bid activity related to 2014 projects, and we expect awards in the second half of 2013. To recap, we've had an excellent first half of 2013. We've executed financially and delivered on strong margin growth. We have enjoyed a significant increase in backlog, led by some very important and strategic large awards. More importantly, as we look forward, we continue to see a growing number of opportunities across all of our markets, and we are investing heavily in the equipment and the talent that take advantage of those opportunities. I'd now like to turn the call over to Bob Campbell for our financial review. Bob?
C. Robert Campbell: Thank you, Jose, and good morning. Today, I'm going to cover second quarter financial results and our revised 2013 guidance. And I'll also cover our liquidity, cash flow and our capital structure. As in previous calls, when we discuss our financial results and our guidance, we will be discussing non-GAAP continuing operations adjusted EBITDA and earnings. A full reconciliation from GAAP results to continuing operations adjusted results is included in our 10-Q and our press release and on our website. We have made 2 adjustments to our second quarter 2013 continuing operations GAAP results. Our non-GAAP continuing operations adjusted results exclude the final legacy Sintel Spanish litigation charge, and also, they exclude noncash stock compensation expense, which is also excluded for all prior periods. We finally settled and closed out the legacy Sintel litigation in Spain, which dates back to 2001. And we had a final second quarter pre-tax charge of $2.8 million, primarily to cover subsequent foreign currency translation changes related to the original $9.6 million pre-tax settlement charge incurred in the third quarter of 2012. The impact of the second quarter Sintel litigation charge was $0.02 per diluted share. Also during the second quarter, the company entered into an agreement with the previous owners of EC Source to establish an incentive plan for the employees of EC Source, our large project electrical transmission company. In connection with this program, the previous owners contributed cash and common stock from the original purchase transaction back to MasTec. Under applicable accounting rules, MasTec must expense the seller-contributed stock issued under the incentive plan, even though it has no real economic cost to the company. We currently expect total noncash stock compensation expense to increase from about $4 million in 2012 up to about $13 million in 2013, primarily driven by the new EC Source incentive plan. Accordingly, to increase the comparability of our 2013 results, our adjusted results exclude this expense. Our second quarter continuing operations adjusted results exclude $4.3 million of pre-tax noncash stock compensation expense, which has a $0.03 per share impact on diluted earnings. Before I get into my detailed remarks, here are some Q2 headlines. Second quarter continuing operations adjusted EBITDA of $110 million was up 31% from last year. Second quarter continuing operations adjusted EBITDA margin was 11.2%, up 280 basis points from last year. Continuing operations adjusted diluted EPS in the second quarter was $0.47, a 21% increase. We have revised our full year 2013 guidance for continuing operations adjusted EBITDA to $448 million, a 33% increase over last year, and our guidance -- our new guidance for continuing operations adjusted diluted EPS is now $1.88, an increase of 23% over last year. The full year 2013 continuing operations EBITDA margin implicit in our guidance is 10.8%, far better than last year's 9%. And finally, we made an important and strategic acquisition in Q2. We acquired Big Country, a Canadian oil and gas pipeline and facilities company, and it will be accretive for 2013. Now let me get into the details of our results. Q2 2013 revenue was $978 million, down $11 million from last year due to the expected $135 million fall-off in our Power Generation and Industrial business, in which our wind farm business was down dramatically due to the tax credit uncertainty through year end last year. Revenue for our other major segments was up nicely in Q2. Electrical Transmission was up 33%, Communications was up 15%, and Oil and Gas was up 13%. The transmission growth was all organic. Wireless within Communications was up 43%. Second quarter costs of revenue, excluding depreciation and amortization, as a percent of revenue was 84.1% compared to 87.8% a year ago. That's a 370 basis point improvement, primarily driven by the Oil and Gas segment, but also with improvement in the wireless part of Communications. As we said on our first quarter call, Q1 Electrical Transmission costs of revenue was high, or margins were low, due to having multiple jobs being in either a close-out phase or in a mobilization or startup phase. We also said on the call that we expect the transmission costs of revenue and margins would improve over the rest of the year, and they did show significant improvement in Q2. We currently expect that full year transmission EBITDA margin should continue to improve over the rest of the year and hit double digits on a full year basis. As expected, Power Generation was a significant drag on MasTec's costs of revenue and margins as we maintained our capacity to handle wind projects as they ramp up now that the tax uncertainty is behind us. Depreciation and amortization expense, as expected, was 3.4% of revenue in Q2 compared to 2.2% last year, primarily reflecting the impact of higher levels of capital expenditures in Oil and Gas and in Electrical Transmission. We have increased our investment levels in Oil and Gas and Electrical Transmission in anticipation of greater amounts of work in 2013, 2014 and beyond. Second quarter general and administrative expenses as a percent of revenue, on a GAAP basis, were up from 3.9% a year ago to 5.3% this year. Second quarter G&A includes $4.3 million in noncash stock compensation expense, and the year-over-year increase was $3.1 million. The other areas of increase were, one, G&A from this year's acquisitions; two, payroll information technology and other cost increases to support our growth; three, higher bonus accruals given the 31% increase in adjusted EBITDA; and four, $900,000 of onetime transaction costs for the Big Country acquisition. With our normal seasonality, G&A as a percent of revenue should improve over the rest of the year. Q2 continuing operations adjusted EBITDA was $110 million, which was up 31% from $84 million in 2012. Q2 continuing operations adjusted EBITDA margin of 11.2% improved 280 basis points versus last year, and it was a result of the much improved costs of revenue, offset by the G&A increases that I mentioned. Q2 continuing operations adjusted diluted earnings per share was $0.47 compared with the $0.39 we earned a year ago. For the second quarter of 2013, the 10 largest customers were: AT&T was 21% of total revenue; DIRECTV was 15% of total revenue; Enbridge, a pipeline customer, was 9% of total revenue; PPL Corporation, an Electrical Transmission customer, was 4%; Chesapeake Midstream Partners and DCP Midstream, both pipeline customers, were each at 4%; Isolux USA, an Electrical Transmission customer, was also at 4%; TransCanada, a pipeline and facilities customer, was 3% of total revenue; and finally, Enterprise and Talisman Energy, both pipeline customers, were at 3% of total revenue. Regarding diversification, our top 10 customers in Q2 include 1 telecom customer, 1 satellite television customer, 6 Oil and Gas customers and 2 Electrical Transmission customers. Our revenue is split between onetime individual construction projects and what we call master service agreements and other similar contracts for generally recurring services and therefore, recurring revenue. For Q2, 58% of our revenue came from master service agreements or other similar contracts and 42% came from onetime individual construction projects. Also, it should be noted that with many of our customers, we have a significant number of repeat follow-on individual projects. I just wanted to highlight that even though our onetime individual project revenue is growing nicely, we do enjoy a large and stable revenue base for master service agreements and similar contracts. At quarter end, our backlog from continuing operations was up nicely to $4.1 billion. The comparable number for Q2 last year was $3.1 billion and $3.5 billion at the end of Q1 this year. The increase in backlog was driven by Oil and Gas, which was up $400 million in Q1, and Electrical Transmission, which was up $100 million from Q1. Our total backlog in transmission actually grew more than that, but we limit our reported backlog numbers to 18 months. And some of the transmission work, including the new MidAmerican job in Iowa, goes out beyond 18 months or beyond 2014. While we have had very good growth in backlog in recent quarters, we do expect our future backlog numbers to bounce around a little and be somewhat lumpy. We believe that investors should not panic if backlog in the quarter drops. We currently believe that the longer-term backlog trend line and the trajectory of growth should continue to be very good. With big contracts being executed and often quickly burned off and with the erratic timing of getting customer signatures, quarterly backlog numbers may bounce around a little. Our backlog represents signed contracts executed before quarter end and does not reflect contracts signed after quarter end or the strong verbal assurances that we often receive prior to signing. As always, our backlog numbers are only for 18 months out, and they do include an estimate of the next 18 months of revenue for master service agreements and other similar work. Now let me talk about our liquidity, cash flow and our capital structure. Liquidity, calculated as cash plus availability on our bank credit line, was $449 million. We remain very liquid after the Canadian Big Country acquisition. Our 6 months cash flow from operations was a positive $15 million compared to a negative $4 million last year. And we normally have our better cash flows in the second half of the year. Q2 cash flow from operations was a negative $17 million but far better than last year's negative $63 million. While we had significantly higher earnings this year, our growth in working capital, really, accounts receivable and higher cash tax payments offset the growth in earnings. After I cover what's happening with accounts receivable and CapEx, I'll cover the outlook for what should be much improved cash flow over the second half of the year. Our Q2 accounts receivable days sales outstanding, or DSOs, for continuing operations were 102 days compared to 82 days a year ago. If you net advance billings, or billings in excess of earnings and costs, in the DSO calculation, which is what many of our peers do, then June DSOs were 90 days compared to 73 days a year ago. We were clearly hurt by some collections that did not happen due to the June floods in Calgary, Canada that delayed into July some of our normal collections. In July, we collected about $80 million that was delayed by flooding. Regarding our spending on equipment, we spent $46 million in cash CapEx in Q2 compared to $14 million in Q2 last year. In addition, we added about $42 million in capital leases and other financed equipment purchases in the second quarter compared to $25 million a year ago. The total of our cash CapEx and capital leases and financed equipment was $88 million in Q2 compared to $39 million in the second quarter of 2012. CapEx spending should be lighter in the second half of the year. On a full year basis, we'll probably spend about $120 million in cash CapEx and maybe another $80 million to $100 million in capital leases and financed equipment. That's higher than our previous estimate, but since March 31, Oil and Gas has been awarded over $600 million of new work, including at Big Country, and Electrical Transmission has been awarded over $400 million of new work. As we have previously said, we currently believe that we should have high levels of growth in Oil and Gas and Electrical Transmission for the next few years. As our project awards have increased dramatically and our confidence level regarding sustainable growth has risen, we have increased our investment in equipment to support our anticipated growth. We see a great window of opportunity for the next few years, and we're getting ready for it. We believe that the P&L benefit for our ramp-up in equipment spending will be primarily seen in 2014 and beyond, therefore, we are incurring a modest P&L hit in 2013 in order to do the right thing for the business longer term. Also, the bonus depreciation for tax purposes -- the 50% bonus depreciation for tax purposes expires at year end, therefore, the economics favor getting equipment and service this year versus next year. Regarding cash flow over the remainder of the year, let me say 3 things. One, our earnings should be much better over the second half of the year, and that's our normal seasonality. Two, our accounts receivable days sales outstanding should certainly improve, reflecting normal seasonality, and also catching up after the floods in Canada. And three, after front end-loading this year's CapEx, our capital expenditures should be down in the second half of the year versus first half levels. We currently expect much improved cash flow and lower net debt levels over the rest of the year, with a net debt decrease of $100 million or more by year end. That's without additional acquisitions this year. Our capital structure remains in great shape. We have great liquidity, low-priced, long-maturity debt, flexibility in how we sell our convertible notes. And based on everything we're seeing, we should generate impressive cash flow over time. We are particularly proud of how we've managed our liquidity and our capital structure in recent years. We have made a number of transformative acquisitions, enjoyed remarkable growth and at the same time, we have increased our liquidity, lowered our leverage ratios and improved our capital structure. As I mentioned, we have revised our full year 2013 revenue and earnings guidance. For the full year, we currently expect revenue of $4.15 billion. Additionally, we are increasing our estimate for continuing operations adjusted EBITDA to $448 million and revising our continuing operations adjusted diluted earnings per share estimate to $1.88. The increased earnings reflects our current outlook for the rest of the year plus the rest of the year impact of the Canadian Big Country acquisition, which is another accretive acquisition. The guidance excludes the first quarter loss on debt extinguishment, the Sintel litigation charge and noncash stock compensation expense. The guidance also reflects the higher interest cost of carrying the larger amount of senior notes from our Q1 $400 million offering and higher depreciation expense caused by the increased capital expenditures in support of Oil and Gas and Electrical Transmission. As I mentioned earlier, a reconciliation to GAAP measures is included in our press release, in our 10-Q and on our website. The 2013 revenue projection represents an 11% increase over $3.7 billion for 2012, which we think is pretty good given that Power Generation and Industrial revenue will likely be down about $350 million due to much lower wind revenue. Our 2013 continuing operations adjusted EBITDA projection of $448 million is a 33% increase over continuing operations adjusted EBITDA of $336 million last year. In 2013, continuing operations adjusted EBITDA margin implicit in our guidance is 10.8%, which compares to a continuing operations adjusted EBITDA margin of 9% last year. And continuing operations adjusted EPS of $1.88 is a 23% over increase -- 23% increase over continuing operations adjusted EPS of $1.53 last year. Our 2013 full year guidance assumes a tax rate of about 38.4%. Cash taxes are estimated to be 90% to 95% of book taxes in 2013. We currently expect depreciation expense to increase from $80 million last year to $121 million in 2013 as the result of higher CapEx and capital leases plus the impact of the Canadian Big Country acquisition. As I mentioned earlier, we will have a modest P&L drag in 2013 as we ramp up our equipment spending in anticipation of opportunities that we see in the future for Oil and Gas and in Electrical Transmission. We expect full year acquisition amortization expense of $21 million, including the impact of the Canadian Big Country acquisition. We expect an increase in interest expense from $37 million in 2012 to about $47 million this year. Our estimate for full year share count for diluted EPS is about 85.2 million shares and about 86 million shares for Q3. Remember that our share count for EPS purposes can fluctuate up and down with our stock price because of the accounting for our convertible notes. We currently project Q3 revenue of about $1.15 billion compared to $1.067 billion last year. The revenue growth reflects good growth in all of our segments, offset by an expected $130 million decline in Power Generation and Industrial. We currently project third quarter continuing operations adjusted EBITDA of $135 million compared to $103 million last year, an increase of 32%. The Q3 continuing operations adjusted EBITDA margin is expected to be 11.7% compared to 9.6% a year ago. And we project Q3 continuing operations adjusted diluted EPS of $0.60 compared to $0.54 last year, an increase of 11%. As Jose said, we currently expect a strong second half and another record year. 2013 is all about execution and significant margin expansion, and we expect to continue to perform well. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] And we'll take our first question from William Bremer with Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: My first question, subsequent to the quarter, in Electrical Transmission, have you been selected for any material large-scale transmission projects? And a follow-up to that is, has there been any leadership change on the transmission side?
Jose Ramon Mas: So we announced 2 major projects during the quarter that we were awarded. Those are the 2 projects I specifically spoke about. Those projects were signed during the quarter. Only a portion that's in 18 months of backlog. The revenue is in backlog, but both of those projects, in their entirety, are in our total backlog. So those are the 2 major wins that we had. We have not been awarded any further large transmission project since the end of the quarter, and there have not been any changes in transmission management.
William D. Bremer - Maxim Group LLC, Research Division: Okay, great. My second question is regarding pricing. And we could -- this is mostly in the transmission and pipeline side. Is it safe to assume that the pricing in the backlog that was seen and stellar growth on both sides is better and is better than it was, say, since the first quarter of this year?
Jose Ramon Mas: I wouldn't say it's better from the first quarter. I think over time, the market has tightened up. Competition has probably tightened up a little bit from a pricing perspective, which has made it better for everyone. And it's just an issue of supply and demand. We've got a number of projects, obviously, that we're winning now, that we're beginning construction on. We think, over time, pricing continues to tighten. I think we've seen some tightening but not all that we'll end up seeing.
Operator: And we'll take our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: If you were to look at your CapEx plans now for this year, Jose, how much -- if there was an infinite demand flow on the pipeline side, how much could you grow your revenue by, hypothetically speaking, for next year from this $1.5 billion?
Jose Ramon Mas: We're pretty excited to be growing it to $1.5 billion this year. Obviously, we're going to look at the market and look at the opportunities for us to continue to grow our business. We are very excited about the acquisition of Big Country and the opportunities that it opens up for us in Canada. We think there's a lot of potential growth for us, especially where we were in that market versus where we are today from a competitive sense. We've made a lot of investments this year in equipment and people, so we're hoping to grow. I don't know that we're going to lock ourselves up to a number today because we're not ready to give guidance for 2014 yet. But we're excited about the future. We think there's further growth potential. We're pretty busy from hereon out. For the rest of '13, we're pretty booked in our pipeline business. And we're going to work hard to find ways to continue to grow and continue to put ourselves in the position to get bigger. Obviously, when you look at our first 6 months run rate and where we think we can end the year, we've got acceleration in that business in the second half, we think pretty good acceleration in the second half. So hopefully, we can start that at that same pace in '14 and grow from there.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. That's helpful. And second question, it's pretty interesting when you're talking about the home security business. Clearly, the housing market is coming back, and it seems like a good idea to always have a diversified business as you grow. So if you look at it not from a 2013, 2014 perspective, but, let's say, from a 3-year-plus perspective, what markets are you excited about outside of, clearly, pipeline and transmission?
Jose Ramon Mas: We're obviously excited about transmission and pipeline, and I think we're very excited about wireless. We're seeing a ton of growth in our wireless business today, and we really see no end in sight to that. We think that's going to accelerate, especially over the course of the next few years. A lot of technology changes are happening there, a lot of issues with networks that are going to take a lot of work for a long time. So we're very, very bullish in that market. We think we've got a lot of potential to continue to grow that business beyond just this year and next. We think it's got some real legs. We've always been bullish about the security business. It's a business that we've had a hard time penetrating in the last 12 months or so. We've had 2 of our major customers enter that business, AT&T and DIRECTV, which we're now working for. So we've seen a shift in the types of players that are entering the security market today. A lot of the video and voice operators are looking at security as a way to diversify and grow their business. And I think we'll naturally get a benefit from that and opportunities to grow our business related to that. So we're pretty excited about that. We think as housing changes, both the maintenance, telco and the distribution energy market are going to improve. We think that the renewable market gets a lot better next year, and we continue to diversify that business. And hopefully, that gives us a lot of long-term opportunities. So the reality is that we're excited about all of our businesses. There's not a business in our portfolio that we don't think has good long-term growth potential. So we're excited about everything.
Operator: And we'll take our next question from Andy Kaplowitz with Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: I want to ask you specifically about wireless and your largest customer. If I'm doing the math correctly, it looks like you're growing your AT&T business by more than 20%, and we know that their CapEx growth is a lot lower than that. So is this just the build-out in the new states that you've talked about before? And then how long can you continue these kinds of market share gains? Because, I mean, it's obviously a pretty impressive growth. And then maybe you can talk about some of the other guys that you're building out with Samsung, Ericsson, your penetration into these other customers?
Jose Ramon Mas: A couple of things. First, all of our AT&T revenue at this point is not wireless. Again, they've started doing some security-type work with a product they call Digital Life, which we're working on, which is having a modest impact to revenue growth with them as well. But wireless is growing with them, and we think there's a lot of opportunities to continue to grow. There's a lot of market share opportunities that we have with that customer across the country related to their wireless build. Again, we think that irrespective of what the total CapEx numbers are, they're shifting more dollars into their wireless network and will continue to do so. So very exciting opportunities with them. We're very bullish on where we can take the business with AT&T. But aside from that, you've got a lot of other carriers. Obviously, Sprint is the big one, and they got their new investment from SoftBank. They're going to go through a very aggressive build-out over the course of the next few years, and we really worked hard trying to position ourselves to get a piece of that and hopefully, a sizable piece of that. So that's a huge and very real current opportunity that we're working on that we're hopeful plays out, which will have a significant impact to our wireless growth over the next few years.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay. And Jose, just shifting gears, can you talk a little bit more about the losses in the quarter in the Power Generation and Industrial business? What can you do to get that business back to breakeven or profitability, and can you do that in the context of these declines in revenues that you're talking about this year?
Jose Ramon Mas: No question that it didn't perform at the levels that we wanted it to. I think that we expected it to lose a little bit of money. We probably didn't expect it to lose close to 13%. Some of it is obviously driven by just efficiency revenues. They're way down. We're still holding on to some people because we know the market's going to turn, and we're seeing that already. Aside from that, some of our projects, especially some of the newer types of projects that we've been getting into on the Power Generation side, where we're hoping to make some decent margins. They're more like -- we're getting into the business. They're more like breakeven-type projects, so we struggled a little bit on some of the projects. We're learning a lot. We're getting a lot of experience, and we're going to continue to try to grow that business. But it's been a little bit more challenging than what we expected when we got into it. So without those profits on those projects, obviously, there's less profits to cover some of the overhead. As we look at modeling out that business for the balance of the year, we're going to have another loss in Q3. We think it's, hopefully, a little bit better than what it was in Q2. And we're pretty optimistic that we can get that business pretty close to breakeven in Q4. And then going into 2014, with all the renewable work that's going to be taking place, we feel really good about seeing that entire business margin turn in 2014 to some pretty good levels vis-a-vis where they were in the past.
Andrew Kaplowitz - Barclays Capital, Research Division: So it's fair to say you don't think it should get worse than here in terms of losses there?
Jose Ramon Mas: It is fair to say that.
Operator: And we'll take our next question from Noelle Dilts with Stifel, Nicolaus.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: First, on Oil and Gas, I was just curious to know if this sort of soft spot we saw in revenues in the quarter, if -- we've been hearing a lot about wet weather and things like that. I was just wondering if that pushed back any project timelines and if that contributed to that weakness at all.
Jose Ramon Mas: Probably, the biggest impact in the quarter was the award that we were awarded from our largest customer. At one point, we had hoped to start that late in Q2, which would've had a significant impact to revenues. It kind of got pushed in the beginning of Q3. We've now started that project. So that probably had the biggest impact in why you saw revenue slightly decrease from Q1 to Q2 and why you'll see revenues ramp so rapidly in the back end of the year.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And then secondly, just given the Big Country acquisition, I was hoping you could speak to the opportunities you see in Canada in pipeline at this point and how you think you're positioned now given the legacy operations that you have plus Big Country.
Jose Ramon Mas: Sure. Big Country did about $30 million for the quarter. We anticipate them to do about $150 million for the year. Out of our total numbers, that number should -- will grow as the back end of the year goes. The $30 million in the second quarter was for 2 months. So they're going to ramp as the balance of 2013 goes on, and we're pretty bullish about their full year for 2014. It's a fantastic market. There's a lot of activity. There's a lot of different plays in the pipeline business in Canada. We had made an acquisition a couple of years back. We were roughly $100 million power player in Canada, so we were -- while it was a good business that we grew a lot since we acquired that first business, the reality is we didn't have a lot of size and scale in that market. And I think Big Country, with their reputation and what they've been able to accomplish, gives us a lot more credibility, gives us a lot more scale to be a much more competitive and effective player in Canada. And we're very bullish on that market. We're very bullish on everything from long-haul pipeline to midstream to even gathering lines. They are not a long-line contractor today in Canada, so we're focused more on the midstream side of the business, kind of like we got into in the U.S. And over time, we'll look at opportunities to potentially move into long-line construction but not anticipated in the next 18 months.
Operator: And we'll take our next question from Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Jose, I wanted to just follow up on the Communications segment. You mentioned Sprint. Can you talked about how much of the upside growth in the second quarter was from some of these new customers and share gains? And how do you think the second half as well as 2014 outlook from that particular segment looks like? And then in the Oil and Gas segment, your second half run rate implies close to $1 billion of revenues. I mean, can we assume that you hit your $2-plus billion revenue target much faster than what you were previously thinking?
Jose Ramon Mas: Can you repeat the second part of that question?
Vishal Shah - Deutsche Bank AG, Research Division: Well, I guess in the Oil and Gas segment, revenues for the 2014, '15 time frame, I'm assuming -- in the past, you've said $2-plus billion of revenues in that segment. Given the run rate that you're seeing in that business in the second half, can you get to that level much faster than what you were previously thinking?
Jose Ramon Mas: Well, if you look at the first half of the year, we're roughly at about $600 million in revenues. Obviously, to get to the $1.5 billion, we've got to be at $900 million in the second half, so that's a pretty significant ramp, which we obviously think we can do. If you take that $900 million on the second half of the year run rate and you annualize it in '14, you get to $1.8 billion, right? So I think that's -- we can obviously perform at those levels if we have the work. So the goal of getting to $2 billion could obviously happen in the not-too-distant future. On the wireless side, the work that we're doing associated with Sprint just missed our customer cutoff. We did about 2%. They were about a 2% customer, not just Sprint, but those affiliated with Sprint. So when you back into it, it was a little bit under 10% of our total wireless revenues for the quarter, and that will be ramping and hopefully, significantly.
Operator: And we'll take our next question from Will Gabrielski with Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: I was wondering if you can talk beyond pricing in pipeline, more on terms and conditions and how that's shaping up. And then as a follow-up to that, what type of visibility are you getting from customers about how your capacity will be allocated over the next few years within that particular market?
Jose Ramon Mas: So first, on contract structure, really not a lot of changes. We've been working under the same contract structures for the last few years, so you obviously have a mix between fixed-price and cost-plus. We saw a movement to more fixed-price over the last few years, and we think that continues. There'll be some cost-plus, but we think the business will be driven by fixed-price. As far as allocation of resources, what we hear from our customers today is there's going to be an acceleration of work over the course of the next few years. It's going to be very busy. And most of the customers are looking to their partners and trying to figure out how much capacity everybody can allocate to them. So we're not worried about the amount of work that's going to be available in the market. We think there's going to be plenty of work. We think everybody in the industry should do pretty well, us included.
Operator: And we'll take our next question from Jason Wangler with Blue Coast [ph] Securities.
Unknown Analyst: Just curious as far as on the financial side. You talked about the $100 million of net debt reduction. Do you see paying some of the line off or keeping that cash on the balance sheet? And I guess as a follow-up to that, as you look at the acquisition market, which kind of dovetails into that, what are you seeing from that perspective across all segments?
Jose Ramon Mas: Obviously, as we get cash in the line, we'll get paid off. We've got 2 fixed structures of debt, the bonds, which we redid in the second quarter this year, which were roughly $400 million. And then we've got some equipment debt out there that is very favorable in financial terms, which we probably won't pay off early. So we expect and hope to build our cash balances as time goes on. We've seen, in the acquisition market, a relatively robust market. We've seen a lot of activity. There's a lot of interesting plays out there. Again, we're pretty different when it comes to our acquisition strategy, the types of companies that we look for. We're fairly conservative. We're looking for companies that we can get at a, what we think is a modest valuation but with a lot of upside in the back end and with good management teams. We still think they're out there. There's plenty of opportunities, some that we feel that we'll be able to execute on and some that we'll pass on. But it's a very active market, and we'll probably be looking at as many opportunities today as we have in a long time. So I don't think it's a huge part of our strategy, but there's no question that as we look at our markets and tuck-in capabilities and trying to fill the needs for our growth strategies, there'll be some interesting acquisition opportunities for us.
Operator: And we'll take our next question from Liam Burke with Janney Capital Markets.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: Distribution, construction and engineering is starting to show signs of life. A lot of the contracts you announced are in the higher -- or longer-haul, higher-voltage area transmission. Are you consciously moving away from the shorter-haul transmission and distribution to move to the high end?
Jose Ramon Mas: There's no question that we've been focused on growing the higher end side of the business, which is a business that we weren't in. So a lot of our focus for the last couple of years has been how do we grow that. We think that the bigger opportunities are there, and I think that's proven out. We're still in the distribution market in energy and the maintenance business in telco. They're obviously a much smaller part of our portfolio than what they historically were. We still like those businesses. We think those businesses improve over time, especially with the turn of housing. We're not seeing -- it's going to be tough for those businesses to move the needle for us because they're relatively small, but we're in those businesses. We have -- we're excited about those businesses and think there's opportunities for us as well.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: Great. And you touched on the renewables. Obviously, wind farm construction has slowed down considerably. When you talked about other projects in renewables, are they solar, or what types of projects are they?
Jose Ramon Mas: What we think comes back in 2014 in a pretty big way is wind, so we are currently bidding and in the RFP stages of a lot of projects for 2014. We think '14 is gonna be an excellent year related to wind. We've obviously done some solar projects historically, and the solar market has been somewhat spotty. I think wind, from a competitive perspective, has had a lot more legs, and there's been a lot more wind constructed. So to the extent that the tax credits are available in the renewable wind side, I think wind is going to be a lot more active than solar.
Operator: And we'll take our next question from Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: The margins in the Communications segment, let's call it -- let's call them 13%. You did a 17% margin, EBITDA margin in pipe this quarter. Can we ever see a 17% margin in Communications, or is the business just structurally different than pipeline?
Jose Ramon Mas: I think the 17% in pipeline was obviously a very strong quarter. As we model out the balance of the year, we probably tone that down a little bit. We're probably looking more at like 15% for the balance of the year. Just because we had some good closeouts, I think 17% is achievable. But it's a very good quarter, so I wouldn't necessarily model 17% for the balance of the year. We think Communications can get better. Obviously, I don't know that it gets hundreds of basis points better, but it can definitely get better. Over time, can it reach 17%? I don't know, but I think it could reach 15%.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay, good color. And then, Jose, from a capital allocation standpoint, would you ever consider selling the wind business?
Jose Ramon Mas: I would consider selling any business for the right price will probably be the right answer.
Operator: And we'll take our next question from John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Two follow-up things. First of all, Bob, you've talked about CapEx being higher this year. And then does it come down a lot in 2014? I mean, how much is being pulled forward in [indiscernible] sort of a normal rate there?
C. Robert Campbell: You know what? It depends on our growth. I mean, I'm not trying to duck the question We clearly are going through a ramp-up given the awards and the prospects that we see. Will it subside next year? It might. I'm not sure I'm ready to say that until we have a better view of awards and continued growth. Until we see the growth subsiding, I'm not sure I'm ready to sign up for lower, but maybe lower.
Jose Ramon Mas: There's no question, though, in a normalized environment, we're not seeing massive growth in pipeline and transmission, which is where a lot of our CapEx is going. There's no question it's a lot lower.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And then, Jose, just on the -- in terms of the margins in the transmission business, when you've talked about the project timing and ramp-up and ramp-down, what is the expectations for margins in that business for EC Source -- or sorry, for all of MasTec?
Jose Ramon Mas: Our expectation is margins will, over time, be a lot better than they were in '12, and our margins in '12 were about 12.5%. So we definitely think that long term, we'd beat those margins. The challenge for us in that business is we -- if you go back 18 months, 2 years, we were a very small player in transmission. We had a -- we won 1 big project. That's where we kind of started from. We built ourselves to 2. We kind of won some smaller ones. So the challenge for us is we don't have 20 projects. So when we have 2 or 3 projects ending simultaneously and we're starting 2 or 3 projects, there's a lot of expenses associated with mobilizing the new projects, demobilizing off of old projects. So as we grow and we don't only have 1 project, but we have 5 or 6 projects, that issue goes away because we're never going to have all of our projects transitioning at the same time. And I think that when you look at the projects that we've won and you look at the rollout schedule for those, and some of those projects will be 3- and 4-year projects, we won't see that again in the near term. So the challenge has been as we've gotten bigger, we face that issue. So now we've won a number of new projects. We're beginning to mobilize on those jobs, so I think that issue that we had -- or that we're having in the first part of '13 will be slowly a beginning of '13 issue. And as we continue to grow and get bigger, we're going to have a lot more projects. And while margins might move a little bit, they're not going to move to the extent that you saw them move early in 2013. And as we get all of our projects ramped and going, again, our expectation is that over time, we're gonna be a lot better than the margins that we delivered in 2012.
Operator: And we'll take our next question from Min Cho with FBR Capital Markets.
Min Cho - FBR Capital Markets & Co., Research Division: Just one question for you. It sounded you have plenty of growth opportunities, obviously, in North America. And I know, Jose, in the past, you've talked about having wireless opportunities in Mexico and Brazil and some pipeline opportunities in Mexico. If you could just provide any update on those international opportunities.
Jose Ramon Mas: Again, we're pretty busy in the U.S., so there's no question that we're focused on the U.S. and Canada. When we look at North America, obviously, North America also includes Mexico. And we're very bullish on what's going to happen on the pipeline side in Mexico. PEMEX, the state-owned gas monopoly there, is undergoing a lot of changes. And we're keeping our ear to the ground. We're seeing a lot of the changes that are happening. So over time, and I'm not saying that it happens in the next 18 months, but over time, I think we're going to see a very active and robust pipeline market in that country, and which I don't think there's a lot of players that can handle the work that's going to happen. So there's going to be opportunity for American companies to penetrate in that market and do very well, and we're looking at it. And over time, we think there's a play for us there.
Operator: And we'll take our next question from Noelle Dilts with Stifel, Nicolaus.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: I just had a quick follow-up on investments in equipment. And pretty much, what I'm wondering is to what extent should we be thinking about this equipment that you're bringing on as incremental versus how much is replacing equipment that you've been renting in the past.
Jose Ramon Mas: Well, it's all incremental, right? Because these are equipment we didn't have. Obviously, there's some change-outs or some equipment that we're changing out that maybe we have some older pieces that -- so basically, some maintenance CapEx. But maintenance CapEx is a very low percentage of that total number. Most of that number is what we would call growth CapEx. There's no question that some of that growth CapEx is offsetting some of the rentals. So as we begin our process of growing our CapEx, part of the analysis was we're running x amount of equipment today, and the rentals cost is x. We can save a significant amount of money by buying that equipment versus renting it. Now as we were going through that, growth accelerated. So we continue to rent. So all of the new CapEx purchases are not offsetting rentals. We've been forced to go back into the rental market because of the amount of activity levels that we're having. But what we're going to buy to and what we're going to manage our CapEx to is an amount of equipment that we feel that we can operate and have at a very high utilization level for a long period of time. Outside of that, we're going to continue to be in the rental market for ebbs and flows and peaks and valleys, and rentals will continue to be a significant part of our equipment allocation probably forever.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And are you depreciating the new equipment over 6 years?
Jose Ramon Mas: No. Each type of equipment is depreciated over different lives, so there's some equipment that last 3 years. There's some equipment that last 5. There are some that last 7. So it all depends on the type of equipment and the useful life of that equipment. And we do a lot of studies around that, and then we depreciate to those levels.
Operator: And we'll take our next question from John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Just one more question. Jose, you talked a little bit about the home security business through DIRECTV and then mentioned AT&T. Are you working for AT&T now in home security? And if so, what market?
Jose Ramon Mas: We are working for AT&T on a project they call Digital Life, which is a project they recently rolled out in a number of markets. And we're probably -- we're not ready to talk about the specific markets that we're in yet, but we are working for them. We think we're a sizable piece of their installation business for that product. Again, it's a very new product. Volumes and the anticipated demand for that product is yet to play out. So as that becomes more meaningful, we'll probably spend more time talking about it.
Operator: And we'll take our last question from Will Gabrielski with Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Just on the CapEx, when you started the year and took the number up, it sounded like that was in anticipation of some bigger wins. And then you got these bigger wins, but the number is going up again. And I'm wondering, is part of that related to Big Country in any way, or are we doing more CapEx right now in anticipation of yet more wins? Or did you just under-appreciate how much capital needed to be spent, given the size of the wins you've already booked? Just kind of put some color around that topic.
Jose Ramon Mas: It's not associated with Big Country. And I think that we've ended up having more wins more rapidly than we expected. So in other words, there's no question that we expected to win some big projects. I think we're winning more big projects than we had originally included in our CapEx guidance. And as we've won them, we've been forced, obviously, to invest in those businesses to be able to execute on those projects and hopefully, on other projects to come in the future.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: So this CapEx then gives you, hopefully, enough comfort that if you were to continue growing backlog over a 12-month period now, you'd be in pretty good shape to not have to increase the number materially from here?
Jose Ramon Mas: Again, to Bob's comment, it kind of depends on how much we win, right? We're always going to be winning to replace work. If there's another significant growth cycle in any of those businesses, it may require some additional CapEx.
Operator: And that does conclude our question-and-answer session. I would now like to turn the conference back over to Mr. Joe Mas for any additional or closing remarks.
Jose Ramon Mas: I'd like to thank everybody for participating on our call today, and we look forward to updating you on our third quarter call in a couple of months. So thank you.
Operator: And that does conclude our conference. Thank you for your participation.